Operator: Good morning and good evening. Welcome to the Sea Limited First Quarter 2021 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Ms. Min Ju Song. Please go ahead.
Min Ju Song: Hello, everyone, and welcome to Sea's 2021 first quarter earnings conference call. I am Min Ju Song from Sea's Group Chief Corporate Officer's Office. Before we continue, I would like to remind you that we may make forward-looking statements, which are inherently subject to risks and uncertainties and may not be realized in the future for various reasons as stated in our press release. Also, this call includes a discussion of certain non-GAAP financial measures such as adjusted EBITDA and net loss excluding share-based compensation. We believe these measures can enhance our investors' understanding of the actual cash flows of our major businesses, when used as a complement to our GAAP disclosures. For a discussion of the use of non-GAAP financial measures and reconciliation with the closest GAAP measures, please refer to the section on Non-GAAP Financial Measures in our press release. I have with me Sea's Chairman and Group Chief Executive Officer, Forrest Li; Group Chief Financial Officer, Tony Hou; and Group Chief Corporate Officer, Yanjun Wang. Our management will share strategy and business updates, operating highlights and financial performance for the first quarter of 2021. This will be followed by a Q&A session in which we welcome any questions you have. With that, let me turn the call over to Forrest.
Forrest Li: Thank you, Minju. Hello, everyone, and thank you as always for joining today's call. We are pleased to start 2021 on a strong note with our results for the first quarter showing continued high growth across all our businesses. Even with the revenue recovery in offline activities in our region since the second half of 2020, our strong performance in terms of users' growth and engagement shows that digital adoption is still rising healthily as the communities we serve continue to embrace the benefits of online lifestyle. At the group level, for the first quarter of 2021, we're happy to report GAAP revenue of $1.8 billion, which represents 147% year-on-year growth. We've recorded particularly strong growth in gross profits, which reached $645.4 million, up 212% year-on-year, while adjusted EBITDA was $88.1 million, compared to a loss of $69.9 million a year ago. This strong performance on both the top and the bottom line once again demonstrates Sea's ability to capture the high growth potential of the industry and the regions we operate in while deploying capital and the resources effectively and efficiently across our businesses. Before we discuss our business performance in detail, it is important to note that many of the communities, consumers, and the small businesses we serve continue to face significant challenges as a result of the ongoing impact of the pandemic, including recent increases in cases in some countries. At Sea, we are committed to play our part in helping our communities navigate these ongoing challenges. This includes support to address the most pressing near-term needs of our communities as well as our sustained focus on helping more people to benefit from the growth of the digital economy. Our global teams are working hard to identify ways in which we can offer tangible near-term support to our communities. For example, in Bandung, Indonesia, we recently set up a vaccination center in collaboration with the West Java Health Office to deliver 20,000 doses of vaccines. In the Philippines, we launched the second series of our frontline package for healthcare workers, delivery and logistics providers, and other personnel who contribute in the fight against the pandemic. We have offered them an exclusive package of discount and mobile vouchers and the prepaid Wi-Fi devices from Shopee and its partners. Meanwhile, we are mindful that many small businesses around the region are still recovering from the shock of the last year and we continue to invest in initiatives to help them successfully adjust to the digital economy, scale their businesses, and generate more income to provide for their families. As an example, in March, Shopee announced that it will work with the school of export in Indonesia to help 500,000 small and medium enterprises export their products by 2030. In April, ShopeePay announced that it will be offering training programs for female entrepreneurs in Indonesia to digitalize their businesses and expand their customer reach. In Malaysia, Shopee worked with the Federal Agriculture Marketing Authority to teach local farmers on how to effectively move their businesses online and adapt to the effect of the pandemic. We also continue to groom talent during this difficult period. We are clearly aware that many people in our key market, both young and old, may need to cultivate new skill sets to benefit from the rapidly growing digital economy. We want to do our part to bring positive impact to our communities by helping to nurture these new skill sets. In February, we announced the second season of our Shopee Code League, the largest online Code League in Southeast Asia and Taiwan, attended by 15,000 participants from eight countries. In addition, as an ongoing initiative of our Garena Academy in Thailand helps guide and educate young people on how to develop a career in the gaming and export industry. Most importantly, we are proud to serve the underserved with our businesses by connecting communities, enabling consumers and empowering more businesses, especially those who traditionally like success to tech platforms and the opportunities they bring. With that, let me now discuss each business individually starting with Digital Entertainment. Garena delivered another quarter of outstanding performance. Bookings were $1.1 billion, up 117% year-on-year, while adjusted EBITDA reached $717.3 million, up 140% year-on-year. In the quarter, quarterly active users reached 648.8 million, up 61% year-on-year, while quarterly paying users reached 79.8 million, up 124% year-on-year. Our paying user ratio rose to reach 12.3% compared to 8.9% a year ago showing that we can grow our user base while also deepening monetization. Once again, Free Fire had a standout quarter as our focus on building out the platform with more creative and engaging content and user engagement activities continued to resonate with gamers around the world. Indeed, Free Fire remained highest supporting mobile game in Latin America, Southeast Asia and India for the quarter according to App Annie, maintaining its top rank for Latin America and Southeast Asia for seven consecutive quarters and achieving the same in India for two consecutive quarters. A key success factor is our ability to keep our strong global community deeply engaged with our platform by constantly delivering fresh, high quality, and locally relevant content. In the fourth quarter, we rolled our partnership with popular Japanese Manga titles like One-Punch Man and Attack on Titan to create memorable crossover events and content experiences for our users. We also received very positive feedback when we introduced the in-game character based on popular local celebrities. For example, in Vietnam and in MENA, we collaborated with the popular V-pop Prince, Son Tung MT-P, who has more than 9 million followers and nearly 2 billion views on YouTube, and the famous Egyptian singer and actor, Mohamed Ramadan, who had a top hit song last year that has since generated over 225 million views on YouTube to create in-game characters. Our community engagement and e-sports efforts are key drivers of success. In the first quarter, we introduced a highly popular community content around Indian Holi festival, a special fulltime music video for festival to all 50 million views. We also organized e-sports tournament like the Free Fire League Latinoamerica 2021. In April, our flagship Garena World event generated an online audience of 1.2 million and more than 40 million online views of across Facebook, YouTube and other social media channels. During the fully virtual 2-day event that was hosted in Thailand, we used the combination of augmented reality, visual effects and animation and other technologies to provide our fans with an interactive and immersive experience. For example we hosted a dedicated live screening platform where viewers can customize their avatars and express their views through chat. We also welcome 39 teams from 9 regions to compete in our online game tournament. This event demonstrated our ability to adapt to fast changing environment and to successfully deepen engagement with our users through technology. We also received a number of awards at the Pocket Gamer Awards 2021 with Garena winning the best mobile publisher award and Free Fire named as the best Battle Royale Game. These efforts to grow and stressing the Free Fire platform through continuous content rollout and emphasis on community-building activities have delivered clear results, not only in terms of strong user metrics and financial performance but also in users' business. Indeed, our Free Fire call for analysis shows that even a strict lockdown in our core markets has been gradually eased since the second quarter of 2020, time spent for daily active user on Free Fire remains far higher than pre-pandemic levels. We are encouraged to see that for other cohorts. The time spent per active user, and especially paying user ratio, are still rising even though these users have been playing Free Fire since these early days. New cohorts also start off stronger than older cohorts, displaying a higher and faster growing paying user ratio than older cohorts over time. Looking ahead, we continue to plan for a deep pipeline of innovative content, fresh partnerships, and exciting e-sports activities to further and better engage with our ever-growing global communities of users. We are also working to ensure that our long-term gains for forming pipeline remains strong. A significant number of our more than 1,000 in-house skin developers globally are constantly working on new ideas while we continue to engage with third-party game studios for collaboration on promising and complementary game development and the publishing opportunities. Let us turn to e-commerce. Shopee delivered exceptional results for the fourth quarter, building on stellar performance in 2020 as this continues to gain momentum and attract more buyers and sellers. In the first quarter, Shopee reported 1.1 billion gross orders, up 153% year on year, and a GMV of $12.6 billion, increase of 103 year on year. GAAP revenue grew 250% year on year to $922.3 million. Our year-on-year order growth rate continues to accelerate in the quarter underscoring our strengthening market leadership. We are pleased to note that adjusted EBITDA loss for order fell once again, it declines 38% year on year to $0.38 during the quarter, demonstrating the growing efficiencies of our core e-commerce operations even as we continue to invest in growth. According to App Annie, Shopee continued to rank first of Southeast Asia and Taiwan. The average monthly active users and the total time-spending app on Android in the shopping category for the quarter. In Indonesia, Shopee's largest market, we continue to rank first across those same metrics while our year-on-year gross order growth further accelerated in the quarter. We also saw growing user reception to our platform in Brazil. We will continue to accept the trends and opportunities there carefully and invest with efficiency to continually enhance our platform offerings to the users. Our focus on the execution of excellence remains the key factor driving Shopee's extent of success. In everything we do, we are relentless about optimizing our performance and maximizing the output. In the first quarter, we load out more initiatives to support our regional sellers based on the brand. As an example, for small-medium sellers, we work with feel future Singapore in March to offer up a step-by-step program to successfully help them to transition online. For brand, we launched a new program like The Regional Champion Brands Program and our 100 Million Dollar Club to help them maximize their online growth potential. We also gave out awards like Best Product Launch or Best Tech Innovation to reward brands who have appreciated themselves on our platform like P&G, Disney, L'Oreal, Samsung, and Unilever. We are happy to share that the number of friends working with the Shopee Mall has grown to more than 25,000. To conclude, we believe that e-commerce penetration remains low in our total market despite the change in digitalization since the onset of the pandemic. Against this backdrop, we remain committed to investing with efficiency to capture attractive potential over the long run. We believe our hyper-local and highly targeted approach alongside our commitment to focus and invest with efficiencies for the long term, will allow us to build a healthy and sustainable ecosystem that can offer the best long-term value for buyers and sellers and, in turn, of other stakeholders. Turning now to digital financial services. SeaMoney continues to see very high growth in the quarter. Building upon its excellent performance last year, for the first quarter, SeaMoney's mobile wallet services reported a total payment volume of $3.4 billion, which more than tripled compared to $1.1 billion a year ago. Quarterly paying users surpassed 26.1 million in the quarter. We are pleased that ShopeePay continues to gain traction as the quick and the convenient online and contactless payment option. Indeed, according to Snapcart Indonesia survey in March, ShopeePay was the most used, the most remembered, and the most liked mobile wallet by Indonesian consumers during the fourth quarter. In addition to leveraging the strong and growing on-platform from use cases on Shopee, we've continued to expand our range of off-platform use cases. For example, ShopeePay is now available as a payment option at Indomaret, one of Indonesia's leading convenience store chains, as well as very popular SMB chains such as Wendy's and Domino's Pizza. The reception so far has been strong in the first week of our partnership with Indomaret with more than 1 million transactions were paid using ShopeePay. We've also added a new feature to the ShopeePay experience to enhance its utility for both consumers and ShopeePay merchants. In April, we launched a new feature called Malls Around You Promo or Deals Near Me, which shows the user attractive deals in their immediate vicinity. Users can then purchase the relevant vouchers on the app and then redeem them immediately at the physical outlet. This has been highly successful in driving a significant actual portfolio for all other offline merchants. We believe that digital financial services sector in our region is still in the early stages and we expect it to develop significantly more use cases features and opportunities in due course. As we scale this business, we will apply the same resource and discipline, and efficiency as we have achieved across our businesses so far. To conclude, our first-quarter results are a great start to the year. Each of our businesses has performed impressively and is well-positioned to benefit from attractive long-term industry potential. As our well online activity continues to resume, we expect rising digital adoption to be a tailwind for Sea's sustained growth. We'll also keep investing prudently and efficiently for stressing our competitive moat and to position ourselves for new opportunities. Our commitment to serve consumers and small-medium businesses with technology are stronger than ever, and we are determined to enable more people across our communities to benefit from the digital economy. With that, I will invite Tony to discuss our financials.
Tony Hou: Thank you, Forrest and thanks to everyone for joining the call. We have included detailed financial tables, together with the corresponding management analysis in today's press release and Forrest has discussed some of our financial highlights. So I will focus my comments on the other relevant metrics. For Sea overall, total GAAP revenue increased 147% year on year to $1.8 billion. This was mainly driven by strong performance in our e-commerce business as we continue to grow our tools to better serve our users' needs, as well as the growth of our digital entertainment business, especially our self-developed game Free Fire. Digital entertainment bookings grew 117% year on year to $1.1 billion. GAAP revenue was up 111% year on year to $781.3 million. The growth was primarily driven by the increase of our active user base, and dividend paying user confusion as we continue to engage the community through new content, and partnerships roll out and esports events. Digital entertainment adjusted EBITDA was $717.2 million. This represents year-on-year growth of 140%. This was mainly due to the strong top line growth, and an increased share of our self-developed game among our total bookings. On e-commerce, our first quarter net revenue of $922.3 million included GAAP marketplace revenue of $715.9 million, up to 285% year-on-year and GAAP product revenue was $406.4 million, up 167% year-on-year. The strong results demonstrated the deepening penetration of e-commerce and our ability to capture these accelerated growth opportunities as we continuously enhance our offerings to create greater value for our paying [ph] users. E-commerce adjusted EBITDA loss was $404.9 million. As we continued our investments to fully capture opportunities in our markets. We remain committed to efficiently investing in and growing the ecosystem to serve our users better. Digital financial services GAAP revenue was $51.3 million, an increase of 396% year-on-year from $10.2 million in the first quarter of 2020. The growth was primarily due to increasing traction as we continued to expand our suite of service offerings. Adjusted EBITDA loss was $153.1 million, compared to a loss of $93.1 million in the same period of 2020. This was primarily due to our continued efforts to drive mobile wallet adoption. Returning to our consolidated numbers, we recognized a net non-operating loss of $23.3 million in the first quarter of 2021 compared to a net non-operating income of $11.2 million in the first quarter of 2020. Our non-operating loss in the first quarter of 2021 was apparently due to increased interest expense on convertible notes. We had a net income tax expense of $51 million in the first quarter of 2021, which was primarily due to corporate income tax and withholding tax recognizing our digital and entertainment business. As a result, net loss, excluding share-based compensation was $320 million in the first quarter of 2021, as compared to $239.5 million for the same period in 2020. With that, let me turn the call to Yanjun.
Yanjun Wang: Thank you, Forrest and Tony. We are now ready to open the call for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Thomas Chong from Jefferies. Please go ahead. Hello Thomas, is your line muted?
Thomas Chong: Hi. Thanks, management, for taking my questions. Can you comment about the life cycle of the Free Fire as well as the growth drivers in terms of MAU and users in the ARPU? Should we expect the growth to be more coming from the LatAm going forward? Thank you.
Yanjun Wang: Thanks, Thomas. Regarding your question, sorry, your line isn't super clear. I understand your question is regarding the life cycle of Free Fire, as well as the growth drivers of the users and ARPPU and whether the growth is coming from LatAm region. Are these correct?
Thomas Chong: Yes.
Yanjun Wang: I'll answer these question first. Regarding the Free Fire, I think, as we can observe from our disclosure of quarterly active user, for a paying user, and bookings, as well as the bottom line adjusted EBITDA, which is largely also attributable to Free Fire being a global game and growing at a very healthy rate globally. We see still at – it’s early stage of a life cycle. And, in fact, we see it increasingly as a platform and a major and a major IP franchise. We are focusing on continuing to grow our user base. The growth driver of the growth comes from both, Southeast Asia, LatAm, as well as India and the rest of the world. And that's the same for both the user base as well as pay user base. So we're still at an early stage of driving growth on the user base as well pay user base for this game and developing it into a premium social platform where people not only have to play the core gameplay, but also enjoy other modes, hang out, listen to music, socialize, the time spent in the game continue to be very high, two to three hours per daily active user. And as we discussed in the earlier comments that we observed encouraging trends on the cohort analysis as well, where the older cohort, who had been with us since the early days of this game, have shown stronger trends in time play as well as paying ratio. And we also see younger cohorts coming in more recently, showing even faster growth of pay user ratio as well as stickiness. And there's also, as we mentioned, positive feedback loop between paying user as well as and stickiness of the game, but user pay and pay more, they tend to play the game more and be with the game for longer. We are also being focused on building our ecosystem on e-sports, the communities, as well as collaborations with third-party IP. As we mentioned before, we have collaborated with, for example, One-Punch Man, which is a very successful campaign to promote further engagement in our game. So I think this is a very much a broad-based user growth, as well as pace of growth and we'll continue to focus on growing this game globally.
Operator: The next question comes from Piyush Mubayi from Goldman Sachs. Please go ahead.
Piyush Mubayi: Thank you for the opportunity, Yanjun. When I look at the e-commerce business, I was hoping you could shed some light on where you are in Brazil. And also help us understand the drivers of the improvement that we saw in the take rate. And related to e-commerce, in better understanding, the spend that is taking place, would you be able to tell us or give us a feel for how much the investment is that’s - the drag on the EBITDA for the e-commerce side at this stage in the 1Q period? Thank you.
Yanjun Wang: Thanks, Piysuh. As we mentioned earlier, we've seen continuously positive user reception in Brazil and we'll continue to invest to enhance our offerings to our sellers and growing user base there. At this stage, it’s still very early for us and we'll continue to observe the trends locally and focus on efficiently investments there.
Piyush Mubayi: Could you shed some light on whether there’s a drag on the overall EBITDA because of investments in outside this region as far as e-commerce is concerned?
Yanjun Wang: Again, it's still very early stage. I think it's still too early to talk about the market separately. Overall, I think the contribution in terms of the margin we're seeing from the e-commerce perspective is still very positive. Our EBITDA loss per order continued to fall. And in terms of top line growth, still at 250%, which is very strong on all fronts. So I think it’s still very early stage for Brazil for us to discuss even as a supermarket.
Operator: The next question comes from Alicia Yap from Citigroup. Please go ahead.
Alicia Yap: Hi, good evening, management. Thanks for taking my questions. Congratulations on the solid results. I have two quick questions. Number one, just wondering if management can share the conditions in India, given the Free Fire tractions there, given the lockdown, do you actually see the time spend are increasing? Or are you actually seeing some negative impact because of the illness and the instability? So any color from the game performance in India? And then second question is on the food delivery business. If you can share your plans and ambitions, will that be more complementary, or is it a need-to-win basis that you wanted to challenge the market eager? Thank you.
Yanjun Wang: Thank you, Alicia. Regarding India, we also observed the local situation. Hopefully, India has, as we mentioned, earnings continue to be a top growth market and where our game performed very strongly. Time spent per user continue to be very high. We see rising pay user ratio there. We see it as a highly promising market, and we will continue to contribute meaningfully to our growth in a game with a very long runway. And we will focus on promoting our game and user engagement in India. And in terms of food delivery, we see it as a category on Shopee and we see very strong user reception naturally. And similar to how we’re able to grow these other categories on Shopee through strong execution by business model and user engagements. And as we mentioned before, for food, we see it as a more of a complementary to our other e-commerce offerings and we do become a market leader naturally, like what happened in Vietnam. We're happy to see that, but we see it as a focus on healthy growth and sustainable growth as part of the overall e-commerce ecosystem.
Operator: Next question comes from Ranjan Sharma from JPMorgan. Please go ahead.
Ranjan Sharma: Hi, it's Ranjan Sharma from JPMorgan. Thank you for the presentation. Two questions from my side. Firstly, on Shopee and LatAm you have seen success in driving adoption in Brazil, you are in Mexico, if you could also show how you see the rest of Latin America as an opportunity for e-commerce? And secondly, on food delivery, you had Vietnam, you had Indonesia. How should we think about Shopee food expanding throughout Asia? Thank you.
Yanjun Wang: In terms of our LatAm market, again, even Brazil is very, very early stage for us, not to mention the others. We don't have much update at this point, that any development, then we will update the market. The same thing for food. We have been doing food in Vietnam and has been the market leader there. And Indonesia, we very recently rolled out first in Jakarta and now gradually in other expanding to other markets over time. But we have not announced any plans in any other markets. If there's any update you will also get a market note.
Operator: The next question comes from John Blackledge from Cowen. Please go ahead.
John Blackledge: Great, thanks. Two questions. First could you just give us an update on Shopee's competitive positioning in the core markets in greater Southeast Asia? And then just as kind of has been asked and I'm going to ask again. Sales and marketing spend was higher than expected. Could you just provide some further color on the sales and marketing spend, and was Brazil expansion a key driver of the sales and marketing spend? Thank you.
Yanjun Wang: Thank you. In terms of our competitive landscape, continued to improve for us as we continue to extend our market leadership in the markets across all fronts. And as evidenced by our improving top line GMV order growth, at a very high rate of more than 150% in Southeast Asia, plus Taiwan, and also our increasing take rate over time, and monetization. In terms of sales and marketing spends, I think our top line growth also probably in a way exceeded the consensus. So just marketing says percentage of GMV actually dropped quarter-on-quarter. So I think we'll continue to observe the trends. Now, it's very important to note that, this is a really a managed outcome for us as we look at all the opportunities as a company that we have. This is actually the 11th quarter that we've shown a triple digit growth as a top line. And as a company of our scale and size and speed of growth might not be many other large cap internet companies that have shown this level of sustained very high growth. And our growth is carefully managed, results through prudent and efficient spending, and investment in the long-term development of the business model. And we are in high growth regions, whereby the penetration of digital economy is still very low. So the long way is very high. The competition landscape is not a kind of red ocean, zero sum game situation. Instead, we actually continue to see our market leadership extending as we, while we are bigger we're also growing, we believe, at a faster rate than many other players. So that actually bodes very well, while those opportunities and we want to continue to invest in the long-term business model, which we believe can maximize profitability down the road for us and our shareholders in the long run.
Operator: The next question comes from Josh Levin from Autonomous Research. Please go ahead.
Josh Levin: Hi, good afternoon. I have two questions. First of all, in the e-com business, as you think about the future, how are you thinking about the mix of in-house versus 3P logistics? And then second, what are the implications of Gojek and Tokopedia merging for your business? And do you see any disadvantage to not having a ride hailing business? Thank you.
Yanjun Wang: In terms of logistics, our approach has been quite consistent, where we primarily work with third party logistics services providers in our region. And we've been also focused on investing in growth with us, and we further, more deeply integrated with them, help them to improve their efficiency and quality of services to our users. As we continue to see delivery time being shortened, efficiency in foods and costs lowered over time. Our own express delivery services are complementary to the third-party logistics services in the markets. And of course, we will have continue to have the first party capabilities to make sure our users are well served, especially during peak seasons or sometimes during the lockdown, when there could be constraints in capacity. In terms of the implications of the merger, first, we'd like to congratulate our friends on their successful merger. And we think that, as I've mentioned, it's a huge opportunity in our region. There's a very long runway, and we should all collectively focus on expanding the pie and growing the digital economy, now the region and invest in the long run to serve our users and communities better. In terms of the disadvantage of any, not having any particular business, we don't really see that. We fixed that. So we are very fortunate to have three of the largest consumer internet opportunities in the high both regions that we are aim and we are able to manage it across so many complex and different markets. And with the three growth engines, and also especially high, profitable gaming business, the fund helped to actually fund our growth in e-commerce and digital financial services. We think we stand in the best opportunity to -- in the best position to recapitalize opportunities to build the largest consumer internet ecosystem in this region. And we'll continue to focus on executing on our core businesses, as well as building those ecosystems.
Operator: The next question comes from Piyush Choudhary from HSBC. Please go ahead.
Piyush Choudhary: Good evening. Thanks a lot, and congratulations for solid results. Two questions. Firstly, for Free Fire, could you share your thoughts on where do you see opportunity to expand the user base further and where time spent per user can potentially expand? Secondly, on your digital financial services strategy, beyond wallet, can you talk about, you know, your consumer lending and merchant lending products? How has been the response to buy now, pay later and merchant lending and outlook for regional expansion? Thank you.
Yanjun Wang: Yes. I think we continue to see opportunity to expand our user base in -- you know, across all markets, in Southeast Asia, LatAm, as well as, of course, India and the rest of the world. And in fact, there has been a consistent trend historically. We see the penetration rate is still deepening over time so as pays of penetration rate. And as we continue to roll out more IT and engagement and different game mode and engage out with our users online and offline through different activities, community engagement, we think there are definitely opportunities to further grow the user base, as well as user time spent on the platform. We have seen user time spent for some of the top users, who can spend multiple hours a day on the platform, and we are focused on, of course, more of a broad-based time spent as opposed to top time spent by a small group of users. Of course, with, you know, 100 million daily active user, we're talking about a much larger community over time. So, our focus is to continue to promote a massive-based online platform and an online community and provide them with content and opportunities for socializing engagement, trial different modes of games, trial different characters, avatars, or having different ways of playing. For example, we recently are launching, you know, a more of a mystery-solving game mode, something like Among Us with pets that players own in the game. So we'll continue to innovate to bring more content to them. And that's what we focus on in growing the user base, as well as time spent per user and engagement in the game. In terms of the [indiscernible] program, we see it as an integral part of our SeaMoney services to our listed Shopee users. And as we continue to improve our model and understand our user behavior better, we might gradually roll out the program across more -- a larger user base, as well as across more markets, but we'll continue to focus on, you know, efficiency, high-quality lending, and management of user experience, in that respect. I think this is a program that facilitates wallet usage, as well as further facilitate growth of our e-commerce platform, at the same time, allow us to provide better services and have better models on top of which we can build other digital financial services, such as intra tech and wealth management technology services. Again, we'll continue to focus on, you know, using technology to power delivery of -- financial services to underserved communities, and we are focused on collaborating with other financial institutions in growing the pie together collectively.
Operator: The next question comes from Varun Ahuja from Credit Suisse. Please go ahead.
Varun Ahuja: Yes, hi, good evening, management, and thanks for the opportunity. Three questions. First, on the e-commerce side, I think 1Q is seasonally supposed relatively weaker given it's coming out of a strong 4Q. But this quarter, it's again a 6% quarter-on-quarter growth in GMV, so a strong growth. Can you just give some colors in terms of which segments and which countries it's doing well? And obviously, you've not given the number of orders by Indonesia. If you can give some color on that front, that will be helpful. On the gaming side, can you provide a little bit more color on have you launched Free Fire MAX? And anything about the -- any game launches, any plan, anything color that will be helpful? And if you launched Free Fire MAX, any color how is it trending in the developed market? Thirdly, on the digital financial services side, if you can share how much of this $3.4 billion of TPV is related to the e-commerce, your platform versus how much are third party, any breakup? That would be helpful. Thank you.
Yanjun Wang: Thank you, Varun. In terms of the e-commerce business, yes, it continued to experience hyper charged growth across all markets and categories. So, our category composition really hasn't shifted much. And we continue to see growth across all major categories. And same for the market -- different markets. In Indonesia, we mentioned that our year-on-year growth rate actually further accelerated. In fact, this is the highest year-on-year growth rate we've seen in recent times. And in terms of Free Fire MAX, we continue to improve on that -- the game and in terms of understanding our user preference and behavior. We've been testing it in controlled environment, in select market to work on the, you know, the dispersion. I think our goal is to have different offerings, for users with different preferences and have integrated and seamless user experience on our game. In terms of new game launched, High 5, I think we previously announced [indiscernible], which is a open world survival game, and we believe it will also offer a fresh content to communities in our, you know, game world. And then also, the Moonlight Blade, which is MMORPG game. And based on a more well-known IP in parts of Asia, I think these are some of the examples that, you know, we have mentioned in the -- in our pipeline. But again, as you know our practice, while we do have a lot pipeline of potential IP, we don't preannounce those in earnings. We really would like our game of community to hear from -- directly from our game in the -- first. And in terms of the TPV, most of it still related to Shopee, as well as our self-owned services. As I mentioned before, we believe the most efficient way of growing our SeaMoney business or, in particular, the e-wallet business, is through growing our own ecosystem of wee own use case, which also happened to be the largest and some of the highest quality online use cases that allow us to grow the wallet efficiently and on top of which, to have high-quality user analysis and understanding to be able to build comprehensive additional financial services on top of it. So, this will continue to be our strategy.
Operator: [Operator instructions] Our next question comes from Pang Vitt from Goldman Sachs. Please go ahead.
Pang Vittayaamnuaykoon: Hi. Thank you very much for the opportunity. Just two questions from me. Firstly, on Garena, can I understand why is the margin decline quarter-on-quarter, do you think that Free Fire continues to expand its base? And second question is related to COVID impact? We've seen a worsening in COVID situation around the world, in Singapore and Thailand, and also in India. How prepared at this time and if situation continues to worsen, what should we expect from master route of seller support program as we've seen last year? Thank you.
Yanjun Wang: Thank you, Pang. In terms of the EBITDA margin, we mentioned before that we believe our EBITDA margin might fluctuate from time-to-time, but remain at a high rate compared to the industry average. So more related to the first quarter, as I mentioned, we have IP collaboration such as One-Punch Man, and this might also contribute to additional payouts, we need to make to the party IP owner, but overall we think it is very helpful in further engagement with our users, and in promoting our games to a broader base, and in promoting the paying user as well. So we will continue to focus on growing the user base and pay user base, and user engagements. We have proven our ability to commercialize any, whether it is self-developed or third-party IT incorporated in our being broadly across many markets. In terms of COVID impact, you're right that we have seen resurgence of cases and restart of some form of lockdown or restriction of social movements in our region, such as Taiwan, Singapore, Thailand, Vietnam, of course India also. We also see very large number of cases and for other countries like Indonesia, Malaysia, Philippines, we continue to see large number of cases. So I think we're still very much in the COVID situation and so we are well prepared, we believe to handle that, since early last year when this, the pandemic first hit, I think our team have shown resilience, and adaptability to be able to manage the strictest form of lockdown to deliver the well needed services to all communities and with specs in service levels, and we will continue to fulfill those services and demands with quality. I think we are also well prepared for any new surges in cases, and will continue to be vigilant. Any results of COVID the step up in digitalization we believe is here to stay and that has been evidenced in our numbers. Of course, if there are further lockdown and restrictions of movements we think there will be even greater need for our online services to reach broader communities, and we are ready to deliver that.
Operator: Our next question is a follow up from Ranjan Sharma from JPMorgan. Please go ahead.
Ranjan Sharma: Hi, thank you. Yes, can I just have a quick follow-up on Free Fire in the U.S., which seems to be a vast improvement and popularity in the U.S. If you can share any color what's driving this and this engagement means where it is, how do you feel about giving guidance for this year? Thank you.
Yanjun Wang: Yeah. We continue to see a positive reception and growth of Free Fire in direct markets in North America, and we think it's a highly encouraging sign, and we'll continue to serve the users there. I think there are -- you know, not all Battle Royale games are the same. Each top hit game has its own appeal to its own audience. And I think our game differentiates itself in terms of the appeal to broad-based, not necessarily action-focused audience but with a lot of broad-based appeal with fantasy elements, social elements and various forms of engagement and game mode and user friendliness to broad-based communities across gender, age, and level experience with Battle Royale or action game in general. I think this helps in promoting our game to different types of audiences, and we'll -- they will, one way or the other, find us, and we see strong organic growth in, you know, game communities. And we'll continue to focus on reaching the right communities with our game and serving them well in the direct markets as well. In terms of gaming guidance, of course, we see very strong results this quarter. We'll continue to observe. And, you know, we need to update the guidance, we'll let people know. But at this point, we'll continue to observe the trends.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Min Ju Song for any closing remarks.
Min Ju Song: Thank you all for joining today's call. We look forward to speaking to all of you again next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.